Operator: Hello, and welcome to the Cable One, Inc. Q3 2024 Earnings Call. All participants are in listen-only mode at this time. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would like to turn the conference over to Jordan Morkert, Vice President of Investor Relations. Please go ahead.
Jordan Morkert: Good afternoon, and welcome to Cable One's Third Quarter 2024 Earnings Call. We're glad to have you join us as we review our results. Before we proceed, I would like to remind you that today's discussion contains forward-looking statements relating to future events that involve risks and uncertainties, including statements regarding future broadband revenue and customer growth, customer losses due to the end of the affordable connectivity program, future ARPU, future levels of wired competition, growth in carrier, wholesale and enterprise market segments, the future capabilities of our network anticipated benefits from AI, the timing and anticipated benefits of our new billing system implementation, capital expenditures, purchase price payable if the MBI put option is exercised in the anticipated timeline to consummate such transaction, our ability and sources of capital to fund the MBI put price and our future financial performance, capital allocation, dividend policy, leverage ratios and financing plans. You can find factors that could cause Cable One's actual results to differ materially from the forward-looking statements discussed during today's call, in today's earnings release and in our SEC filings, including our annual report on Form 10-K/A. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, today's remarks will include a discussion of certain financial measures that are not presented in conformity with the U.S. generally accepted accounting principles or GAAP. Reconciliations of non-GAAP financial measures discussed on this call to the most directly comparable GAAP measures can be found in our earnings release or on our website at ir.cableone.net. Joining me on today's call is our President and CEO, Julia Laulis; and Todd Koetje, our CFO. With that, let me turn the call over to Julie.
Julia Laulis: Thank you, Jordan, and good afternoon, everyone. We appreciate you joining us for today's call. In the third quarter, we continued to execute on our phased plan for long-term broadband growth. As expected, residential ARPU stabilized and our customer base remained essentially unchanged after excluding the impact of customer losses from the expiration of the affordable connectivity program and minimal customer gains from a small acquisition in July. Business Broadband growth also accelerated, driven by rising demand across enterprise segments. Looking ahead, we are confident in our ability to grow broadband revenue over the long term. This confidence is rooted in insights we've gained with new go-to-market tactics, recent talent additions and organizational changes, new product offerings and the resilience of our highly secured network, which has maintained significant capacity amidst double-digit increases in data demand. This quarter also marked several significant milestones including advancements in digital transformation and expanded use of AI, a strategic rebranding and ongoing organizational alignment, all guided by a customer-first mindset. Before Todd reviews our financial performance in detail, I'll dive deeper into topics of broadband growth, product and network enhancements and strategic initiatives. I want to emphasize that despite the early stages of a phased plan for long-term growth, we remain confident that our steadfast approach will help us successfully navigate the evolving competitive landscape while delivering shareholder value. Starting with residential broadband, HSD subscribers were essentially flat for the quarter excluding the impact from the discontinuation of ACP, which ended in April. We were able to accomplish this despite the ongoing transition to our new billing system, which has required a suspension of price adjustments for more than a quarter, limiting our ability to make marketing adjustments to approximately 20% of our HSD customers. To support our growth and drive our strategy in the upcoming quarters, we've also made significant enhancements to our marketing team, which I will detail a bit later. Specific to the third quarter, while we saw a decrease of 3,400 customers on a sequential quarterly basis, discontinuation of the ACP program cost us 5,300 customers. I would also like to call out that while we took proactive measures to support our customers after ACP ended, which helped maintain our commitment to offer affordable services. We consciously avoided extreme tactics to retain customers at any cost. Looking ahead, we believe the accelerated churn due to the discontinuation of the program is behind us, and we will consider any further churn from this cohort as part of the normal customer life cycle. One example of how we're working to deliver affordable service to value-conscious customers is our pilot pay-as-you-go internet offering, a service tailored for residential customers who seek flexibility in managing their internet expenses, accessible through a user-friendly mobile app, it allows customers to purchase high-speed internet in increments as well as the freedom to adjust their speed as needed, ensuring they only pay for what they require. This product provides a true pay-as-you-go experience with no long-term commitments, contracts or extra fees for the customer and a lower cost basis for the company. This is a pilot program, and we are just starting to gather insights from it, which will inevitably lead to program evolution as we refine how to best serve this cohort of customers moving forward. As anticipated, our ARPU stabilized sequentially, and we expect this trend to continue for the remainder of the year. Notably, new customer selection of speed tiers of 600 megs or higher increased significantly by 900 basis points year-over-year and 300 basis points sequentially, reaching an all-time high of 62%. ARPU benefited from this higher sell-in as well as our ongoing refinement of competitive responses, promotional roll-offs and the successful implementation of our Pay plus program. Turning to competitive dynamics. We believe there are early signs that competition is stabilizing. Specifically, we have observed more rational pricing from some of our competitors reflecting the economic realities of our markets. We believe the economics required for viable returns for wired operators in our markets effectively discourages long-term aggressive pricing strategies. Raw material costs, construction costs from challenging topography and limited labor resources also act as a barrier to new entrants in a host of our markets. Most importantly, our deep local knowledge gives us a competitive edge in these communities, enabling us to maintain a strong market position even in areas with elevated competition. Business Broadband continues to be an important driver of our long-term growth strategy, with revenues up 2.9% year-over-year, an acceleration from the previous quarter's year-over-year growth rate. We are observing significant demand across our carrier, wholesale and enterprise segments. These business segments are in earlier stages of growth and continue to show consistent progress. In all segments, we are taking action to improve our position, whether through pricing, customer experience or expansion into new product types. I would like to take a few minutes to elaborate on the importance of our strong network. Our senior leadership recently gathered at the National SCTE conference and the excitement around the future of HSD networks was palpable. Indeed, DOCSIS 4.0 makes the future brighter than ever as it will be able to deliver up to 10 gig speeds drug intelligent, capital-efficient infrastructure. Future advancements promise even greater capabilities with speed potentially reaching 25 gigabits or more. Today, we offer gigabit speeds across our entire footprint with multi-gig capabilities available in over 40% of our markets. We plan to expand these products through all markets as we transition from linear video to IPTV, but our story isn't just about speed. Our network surpasses the performance and security of cellphone Internet competitors, positioning us to meet the growing data demands of our customers, now averaging 730 gigabits of data per month. Notably, 25% of our customers exceed 1 terabyte of usage per month, up from 21% last year. Even with this rising demand, our network peak utilization remains low at just 19% downstream and 18% upstream demonstrating our ability to support continued growth without capacity limitations or substantial increase in capital intensity. We also understand that seamless and secure connectivity within the home is essential. That's why we offer intelligent Wi-Fi designed to ensure customers enjoy the best possible online experience at all times. Our intelligent Wi-Fi continuously adapts to the users' needs, optimizing speed and ensuring secure connectivity even with a large number of devices online. This smarter network is part of our commitment to delivering technology that enhances our customers' day-to-day lives and even more exciting things lie ahead for our customers in a more adaptive era, but our network will become increasingly proactive intuitive. We are laying the groundwork for this future by integrating AI, machine learning, data analytics and smart equipment into our infrastructure. We're investing in a network that anticipates the needs of our customers, delivering speed, reliability and adaptability that transforms the customer experience. These advancements position us not only to meet market demand, but shape the future of broadband, but are through our investment in multi-gig capabilities, intelligent Wi-Fi or cybersecurity solutions, we are committed to driving sustained growth through innovation, reliability, and an unwavering focus on our customers. As one example, we recently introduced a top-tier security package for $8 a month designed to protect our customers from a wide range of online threats, including viruses, malware and phishing attacks. This package and others like it will create meaningful opportunity for ARPU growth while enhancing customer loyalty and retention. By aligning the interest of our customers and the company we can create a more integrated and valuable experience for all stakeholders. Shifting to strategic initiatives. We plan to go live next week with our new billing system consolidating our Fidelity, Valu-Net and CableAmerica customers onto a single billing platform. This will dramatically streamline operations for associates and customers accelerate product launches and strengthen our Sparklight brand presence. As we have noted previously, this enables us to retire more than 30 disparate software platforms yielding several million dollars in anticipated annual savings. Additionally, we successfully transitioned our Hargray brand to our financial ERP, streamlining our financial operations and decreasing costs. We have also made substantial progress in rebranding Fidelity, Hargray, and Valu-Net and CableAmerica to our Sparklight brand on our website and customer billing systems. Associates across the company are proudly wearing Sparklight uniforms and badges, and we are updating our vehicle wraps and signage as well, consolidating all customers under the Sparklight brand and packages leverages the strength of our brand across the footprint and secure efficiencies by fully integrating our operations. Collectively, these efforts are designed to drive operational excellence and create a unified brand experience, positioning us well for exciting growth opportunities ahead. Transitioning from operational enhancements to technological advancements, we're pleased to share a significant development in our approach to customer interactions. We've begun integrating an advanced AI module into our customer experience framework, representing the first phase of a broader strategy to transform our approach to improve customer interactions and drive greater efficiency. This AI-powered system allows us to harvest actionable customer insights enabling our leaders to gain a deeper understanding of our customer needs and continuously elevate the overall customer journey. We continue to recognize the importance of adding talent to our team to achieve our strategy. So I would like to welcome Tony Mokry as our new SVP of Residential Services. Tony brings more than 25 years of experience in the telecommunications industry to his new role. Before joining us at Cable One, he served as Vice President and Chief Marketing Officer at Cricket Wireless and AT&T subsidiary, where he led cross-functional teams to enhance brand awareness, identify market trends and drive revenue growth. Earlier in his career, Tony held several senior roles at AT&T, including Vice President of both states, where his leadership was instrumental in leading market share growth through innovative marketing strategies based on data-driven insights. Tony's addition complements the reorganization we announced last quarter, bringing expertise that will enhance our ability to serve customers foster sustainable long-term growth and adapt to the evolving demands of today's competitive landscape. We are pleased with the new talent we've brought in across the organization. Their deep expertise strengthens our executive team and fortifies our strategic direction. Before turning the call over to Todd, I want to recognize the incredible dedication of our associates during this challenging hurricane season. Hurricane Helene, one of the deadliest to strike the U.S. in over 50 years significantly affected communities in the Southeast, including our markets in South Carolina and Georgia. Fortunately, all of our associates and their families are safe and our exposure was limited. Our team swiftly restored services to more than 95% of the approximately 15,000 impacted Cable One customers within a week demonstrating remarkable resilience and commitment to our customers. And now, Todd will provide a recap of our third quarter financial performance and further discuss our outlook for the future.
Todd Koetje: Thanks, Julie. Starting off with revenue. For the third quarter of 2024, our total revenues were $393.6 million compared to $420.3 million in the third quarter of 2023. The year-over-year decrease was due primarily to lower residential data ARPU and continued attrition within our lower-margin product line. After declining sequentially over the first half of the year, residential data ARPU stabilized from Q2 to Q3. As Julie noted, we expect this to continue through the end of this year. Q3 residential data revenues decreased by $17.1 million or 6.9% year-over-year, driven by a 7.1% decrease in ARPU. This decline was due to targeted pricing and product strategies in specific markets to address select competitors, along with a focus on the valued customer segment, which generally has lower sell-in rates. Shifting to Business Services. Third quarter business data revenues grew by $1.6 million or 2.9% compared to the same period last year. Business data PSUs grew by 1,100 over the past 12 months. This growth is fueled by strong demand across the carrier, wholesale and enterprise customer segments, which generate our highest revenues per customer and benefit from long-term contracts with high renewal rates. Operating expenses were $104.6 million. The decrease in expense was driven largely by a $7.6 million decrease in programming and franchise costs as well as our ongoing focus on optimizing cost structures within our labor base. Selling, general and administrative expenses were $88.4 million or 22.5% of revenues for the third quarter of 2024 compared to $92.7 million and 22.1% in the third quarter of last year. The decrease in expense was driven in large part by lower labor and other compensation-related costs due to organizational changes implemented during the second quarter, partially offset by increased expenses related to new platform implementations and rebranding. Net income was $44.2 million for the third quarter of 2024 compared to $30.3 million in the third quarter of 2023. Adjusted EBITDA was $213.6 million or 54.3% of revenues in Q3 2024 compared to $230 million or 54.7% of revenues in the prior year quarter. Our adjusted EBITDA margin improved 50 basis points on a sequential basis. Capital expenditures were $77 million in Q3 of this year compared to $77.8 million last year. During the third quarter of 2024, we invested approximately $7 million in new market expansion projects and $3 million in integration activities. Sequentially, our capital investment increased by $5.4 million primarily due to our ongoing investment in leading intelligent Wi-Fi technology, adjusted EBITDA less capital expenditures was $136.6 million in the third quarter of 2024, a $15.6 million or 10.2% decrease from the prior year. Year-to-date, our adjusted EBITDA less CapEx was $428.6 million, a 1.4% decrease from the comparable prior year period. We remain committed to a disciplined and balanced capital allocation strategy focused on 4 key areas: enhancing network and platform infrastructure, as Julie detailed earlier, capitalizing on organic growth opportunities within our existing markets, pursuing strategic inorganic growth opportunities, both investments and through acquisitions and a return of capital commitment that has been and will continue to be focused on debt repayment. As you may have seen recently, 2 of our investments, Metronet and Ziply have announced that they have entered into definitive agreements to sell their businesses. These transactions, which are slated to close in 2025 will yield attractive returns well in excess of our targeted annual parameters and provide pretax proceeds in excess of $100 million. In Q3, we distributed $17 million in dividends to shareholders to repay $54.6 million of debt, including a $50 million voluntary repayment of our revolving credit facility. Our approach to capitalization and balance sheet management is guided by a conservative mindset, emphasizing disciplined debt repayment and a demonstrated ability to reduce leverage. Since early 2023, we have repaid nearly $400 million of debt, including $350 million of the initial $488 million drawn under our revolving credit facility. As of the end of the third quarter, we had approximately $227 million of cash and cash equivalents on hand and our debt balance was approximately $3.5 billion, consisting of approximately $1.8 billion in term loans, $920 million in convertible notes, $650 million in unsecured notes, $188 million of revolver borrowings and $5 million of finance lease liabilities. Our weighted average cost of debt for Q3 of 2024 was 4.16% with over 75% of our borrowings, either fixed issuance or synthetically fixed at underlying base rates that are approximately half of the prevailing floating rates. Our net leverage ratio on a last quarter annualized basis was at 3.85x, while our secured net leverage ratio was approximately 2x. After the end of Q3, with the support of many of our long-term loyal lenders in the banking community, we are able to successfully upsize our revolving credit facility by $250 million, bringing the total committed capacity to $1.25 billion. We also voluntarily repaid an additional $50 million under this facility after the end of the third quarter bringing total available liquidity to over $1.1 billion. As previously disclosed, the MBI put exercise window will occur in Q3 of next year. Based on MBI's past performance and current forecasts and certain estimates and assumptions, we estimate the price to acquire the remaining 55% of MBI that we do not already own if the put were exercised between approximately $760 million and $900 million and MBI's total net indebtedness at the time of acquisition pursuant to the put is estimated to be between $775 million and $825 million. Please note, these figures represent our current estimates and actual amounts may differ. MBI's total revenues for the 12 months ended September 30, 2024, were approximately $320 million, with approximately 225,000 residential and business data customers across a network footprint of approximately 675,000 passings. As we've said before, if the put option is exercised, we believe that our existing cash balances, the anticipated available capacity under our revolver at the time of the transaction and our operating cash flows will be sufficient to fund the purchase price without needing to raise additional incremental capital. Before we open it up for questions, I'd like to reiterate our commitment to executing a phased approach for sustainable long-term growth. Our strong network and dedicated team are key to this strategy, as we stay focused on maximizing our unique assets to provide seamless connectivity to an expanding customer base across our service areas. We are always working for you, we are making significant progress, and we're just getting started. Our commitment to all stakeholders remains unwavering. With that, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Sebastiano Petti from J.P. Morgan.
Sebastiano Petti: A couple of quick housekeeping questions and maybe a broader strategic question. But Julie, can you just clarify the billing system comment that you made with -- you are unable to change pricing packaging for 20% of your base. Does that have any financial or subscriber impacts in the quarter? And then secondarily, on the pay-as-you-go pilot, I understand that it's still a pilot, but it seems -- it might be dilutive to ARPU. I mean just trying to take us through the puts and takes that you're considering on that as you kind of test that. And then lastly, thinking about the broader ecosystem, we are seeing fiber consolidation targeted convergent M&A from some of the wireless players. As you look across the industry and CABO's current strategic positioning, do you still believe it makes sense for CABO to be a consolidator of rural cable has kind of been the thought over the last several years. Does it make sense to perhaps be larger -- be part of a larger enterprise?
Julia Laulis: You bet. So billing system, great questions, Sebastiano. It is -- it did not have an effect on customers or the company with the exception that when you're getting ready to convert customers from one system to another, you aren't allowed to make changes in the existing system. So that means that when you want to market, you don't have the ability to change rates for a long period of time. In this case, everything was frozen as it was in those billing systems because it's multiples as we bring those family of brands into Sparklight from really mid-summer to right now. So if we wanted to react or change or do anything differently, we could not. We were literally locked into those rates. And that's something you live with when you do a billing conversion and ideally, you plan way in advance so that, that is not an issue. But quite honestly, in this case, that's not what happened. Okay. What's next? Pay-as-you-go. Well, that to, again, brand-new program, really pretty innovative, I think. I don't see anything exactly like it in the marketplace and we're going to learn a lot. And we really imagine that this is the place -- this is the place for value-conscious customers. And that would specifically point to cellphone internet competitors as well. This gives customers the ultimate freedom. They can sign up for a day, they can sign up for a month, whatever they have the funds or the needs for, they can change their speeds and have a gig one day and 300 megs another. And this is not targeted at just one size of product. That is to say we have 100 meg, 300 meg, 500 meg and 1 gig that you can get, because even if I'm a value-conscious customer, I might decide to spend my funds because of what my family needs and does for 1 gig service. And so time will tell about your ARPU question. But what I can tell you so far is it is not dilutive. And I know that because the ARPU, the average ARPU from the group of customers that have already signed up is higher than our entry-level price. So we're going to learn more, and we're going to evolve as we go, but we're excited about this product. Let's see. Your last question, do I see CABO as a consolidator going forward versus being part of something larger. In part, that's incredibly speculative. I think that we are a place for markets like ours. We deeply understand what it's like to do business in markets that average about 20,000 customers where we are neighbors with our customers. We know how to operate in disparate regions where we're not all consolidated, how to bring focus and get almost scale-like efficiencies through the way that we operate. I think that we can be good and do good for our communities, our customers and our associates. So for those reasons, I think we are a natural aggregator. What will we be going forward? Boy, I used to be able to predict exactly what we would do 5 years in advance. That's been shrinking down as the environment is changing incredibly rapidly. So let's wait and see.
Operator: Our next question comes from the line of Craig Moffett from MoffettNathanson.
Craig Moffett: Julie, as I think through your broadband ARPU, I'll come back to your question I've asked a lot in the past. And that's -- how do you think about the prospect of wireless, particularly adding Tony with real wireless expertise. You're increasingly competing against wireline players who are offering a converged bundle. Do you think that's hurting you in the marketplace? Or is that still not really a part of the competitive set that you're facing?
Julia Laulis: That's a good question that we think about quite a bit as well, Craig. We examined mobile specifically on at least a biannual basis, at least. And when we look at it, we're taking into account what our customers express needs and wants in our market specifically and the financial impacts of doing a product launch like that. And I see us embarking on a whole range of projects and products that bring value to our customers and ultimately, our shareholders. I also can think back to the past where we didn't jump in right away on some things. We took time to study them pretty thoroughly and that mentality has served us well. Two quick examples are video on demand and home security, where we did not do those 2 products. We did not -- well, we didn't do them. And it doesn't mean that we're not going to do mobile. I mean we are looking at it even more intensely, not just Tony, but studying what our peers have done, but we have to be able to articulate the with them. What's in it for me or the customer for the company, for the shareholder, before we jump into that. And I would just say, I think we're very open to bundling of all sorts, putting together items that bring value to our customers is something that we are going to continue to explore, whether that is products that easily attached to the HSD product, to wireless, to mobile or possibly even don't pull off your chair Craig, but video. So we're open.
Craig Moffett: If I could just ask a quick follow-up. Do you think that whether it's directly or through the ACA or something that you -- that attractive wholesale rates for wireless are available to you? Or is it simply that there aren't attractive enough rates out there to make it particularly compelling wholesale rates, I mean, to make it particularly compelling for you to offer at this point?
Julia Laulis: I think it's holistic. It's about what it can do in terms of generating revenue at what capital and operating cost as well as are there benefits related to churn, it's the whole picture.
Todd Koetje: Craig, we have the access. As Julie said, it's got to be evaluated through that lens of all of the other assumptions as well. But the access is there. I won't say the cost is extremely compelling. But over time, that also potentially could change.
Operator: Our next question comes from the line of Sam McHugh from BNP Paribas.
Sam McHugh: First one, just on ARPU. I know consensus next year has ARPU staying pretty stable relative to Q3 and then what's implied for Q4, but also has a big tick up in kind of residential net additions. Do you feel like you're getting in the right place now where you can get back to nice subscriber growth at the same time as delivering stable to maybe growing ARPU? That's the first question. And then secondly, just on fiber overlap. I know you've given us some numbers last quarter. I don't know if there's any update on how much fiber overlap you have in your footprint now?
Julia Laulis: Okay. Sam, it's Julie. So yes, ARPU stabilized and we believe it will stay that way through Q4. If as we say, we had several things that affected it. Our AutoPayPlus program, promotional roll off and high sell-in as we articulated. Your question is a good one, one that I've been thinking a lot about. Can you move both levers at the same time. And certainly, in the past, that was, quite honestly, a walk down a beautiful path. Recently, if you look at peers, you noticed them doing one or the other. I will note that year-to-date, absent ACP losses, we have grown broadband, and we're now stabilizing ARPU. Recall, we talked several quarters ago about what we were all about in '24, which was shifting from our high LTV strategy to a growth strategy. And in the midst of that, we knew that we would be attacking some very specific competitors in markets and rerating and that, that would have a problem -- or a pull down, excuse me, in ARPU, which we've now stabilized. We fully expect to be growing broadband revenue. That is our imperative.
Todd Koetje: Sam, it's Todd. On the fiber overlap, we reported last quarter below 40% of the overall network, and that remains very consistent.
Operator: Our next question comes from the line of Gregory Williams from TD Cowen.
Greg Williams: The first one is, Julia, you mentioned competition is stabilizing. And I think Todd sort of alluded to in that last answer. Is that in the fiber-to-the-home world and fixed wireless? Because in fixed wireless, we saw some of the carriers increasing their subtargets. And one of your peers, Altice said that they're seeing expansion of fixed wireless, but Charters are saying it's peakish. So I'm curious, the competition is stabilizing for both technologies. And then the second question is just on the OpEx investments that you are doing. I think last time we talked, you expect them to mitigate in mid-2025 and I'm just wondering if that's still the case?
Julia Laulis: I'll take the first one, it's so bizarre. fiber and cell phone, internet, what are we seeing? Well, Todd talked about the fiber overlap and specifically, we've been watching and trialing and learning in the whole competitive realm. It's starting to feel pretty normal to us now. I think we're seeing some cumulative effects of the adjustments that we've taken over the past quarters. And what I mean by that is we're seeing that some of the markets with the highest levels of competition actually have positive growth -- positive growth in the quarter, outperforming even less competitive markets. And we've been watching markets that we have done different tactics to, one of them being rerating to see how quickly they normalize, how quickly do they go through their peak and pull back down into normal levels. And it's actually pretty fascinating. Some as fast as 6 months. That means we get through them going after some segment of the marketplace, getting some level of penetration and then dropping back down in to normal levels within 6 months. Some as long as 18 months. But we definitely feel like we've seen the spike that can come along with new entrants being blunted with some of our recent rerates. We've also seen competitive disconnects go down 14% to 323 to 324. We are watching to see what the competitors do. When we make moves, we're heartened to see many of them increasing their rates, which we think goes to their need for returns. But that's dynamic. And so we track that. We're not endeavoring to follow suit. We're just tracking it. In the end, the competition has made us focused on being better. So when we talk about cell phone Internet customers or competitors, excuse me, my phone is ringing even though I thought I'd put it on do not disturb. We really think our pay-as-you-go product and some of our newer marketing tactics in development can assist us versus this competitor. And when you think about data usage being at an average of 730 gigs in the quarter and 25% of our customers using a terabyte or more, that really speaks to a wireline reliable provider. I mean we had our largest -- I think it was our largest traffic incidents in 2 years when the most recent Call of Duty that released. And actually, 8 out of the last 10 months have had spikes in traffic and they're related to gaming and sports. And that's only going to grow. So that points to the stability of our network. And so I also look at our churn, which is lower than pre-pandemic levels. So I do not think that our existing customers are going to cell phone internet providers with the exception of potentially those ACP losses that we've had. Clearly, they fish in the same pond that we do and have a have an effect on Connect. And that is our puzzle to solve, and we are trying all sorts of tactics and pay-as-you-go is one of those.
Todd Koetje: Greg, it's Todd. I would just add on the churn. We made the comment last quarter, and I'd reiterate it again this quarter. Even with the ACP losses, we're at 5-year lows for churn or customer retention. So when you think about the increasing competitive environment, which is increasing, both on the wired and the cell phone internet, we believe that, that's a very strong testimonial of our customer satisfaction and the long-term relationships we have with them. Less ACP, that number blew everything away relative to where that churn level is if you extract out the AC feature. You asked about the OpEx investments and the timetable. So just to address that, that is still consistently in that time frame of what has been late '24 and into the mid-2025 time frame.
Operator: Our next question comes from the line of Steven Cahall from Wells Fargo.
Steven Cahall: I guess first of all, the stabilization of ARPU that you saw on the quarter and the focus on driving towards broadband revenue growth over the long term and some positive trends around gig sell-in and data consumption. How do you think about your ability to get back into maybe a cadence of pricing power or price increases on the majority of the base. Is that something that you think could be on the horizon? Or is this something you think is going to take some time due to other issues? And I wonder how you've competitively benchmarked yourselves. One of your peers targets 3% to 4% ARPU growth annually. I'm just wondering what you think is different about maybe their customer footprint than yours that's contributed to some of this ARPU differential. And then the competitive stabilization seems constructive. I think you said that what you've seen is some more rational pricing. Any sense of what's happening on the build front. I'm wondering if that slowed down as well.
Julia Laulis: So related to ARPU and pricing, I do think that there is price elasticity at the upper end maybe in just a "naked" rate adjustment, but also if you can add value added perks, there's absolutely room there. I think that if you segment out the customer base, there are absolutely segments that could bear a rate adjustment. We also did AutoPay but only the AutoPayPlus program, but only to a portion of our customers. And so for some of those people, that ended up being a rate adjustment, right, because they did not choose to do ACH and sign up for billing to be paperless, et cetera, and automatic. So that was an effective rate adjustment for them. We have our family of brands in about 350,000 customers in Sparklight that have not had that yet. And so that's obviously again, it can show up as a rate adjustment if the customer doesn't choose to neutralize it. When it comes to ARPU differential, I mean, we -- that one's easy. We had a high LTV strategy. We went after the high end with a premium product, we had lower penetration, leading ARPUs. And so of course, when you go into an environment where you're no longer in what we used to term safe harbor and you're going to go compete, you're going to likely give up some ARPU in those cases, whereas others are coming from a much lower base and have room to grow up. So we are very different by design or we were very different by design.
Todd Koetje: And I think over time, where we continue to penetrate in that value segment, recall, it's really only about a year that we've really been more targeted to customer acquisition in that segment. And we had to really monitor and measure it very closely relative to not only the cost to install, the cost to serve, but also the retention of that customer to be able to evaluate the unit economics, the way that we would want from an accretive contribution perspective. And as I've mentioned in the past, correlation of that retention is very, very high to our premium customer base, which is very encouraging. And then over time, that base also has an opportunity for whether it be more organic upgrades or potential some price elasticity as well as Julie was alluding to.
Julia Laulis: But to be clear, we tried a lot of things in the past 9 months, 12 months, and not all the things that we tried worked, and we learned from them. So --
Todd Koetje: And then on the build front, you were asking about the build front on the competitive stabilization. We've talked about the access to capital, the cost of capital. I think what you're seeing in the M&A environment right now is large scale consolidation with some of these super regional platforms. And obviously, cost of capital and access to capital is going to be less of an issue for those large -- many of them investment-grade issuers. But at the same time, the needle moving impact for those large companies is going to be probably less focused on our small communities. For the Temos and the Verizons and the BCE to move the build needle, it's either going to be upgrading to larger markets or building into larger markets in our opinion.
Operator: All right. And that is all the time we have for questions today. So I'd like to turn it back over to Julie and the Cable One team for closing remarks.
Julia Laulis: Thank you, Jeremy. Before we conclude, I want to extend my sincere gratitude to our associates for their relentless efforts throughout our recent billing conversion. Your dedication around-the-clock and it literally has been around-the-clock is making this milestone possible, unlocking significant opportunities for the company's future. None of this would be achievable without your unwavering commitment. Thank you, and we look forward to speaking with you all again next quarter.
Operator: That does conclude today's presentation. Have a pleasant evening.